Operator: Good morning, and welcome to Quisitive's Third Quarter 2022 Earnings Conference Call. Joining us for today's call are Quisitive's Chief Executive Officer, Mike Reinhart; and Chief Financial Officer, Scott Meriwether. Following their remarks, we will open the call for your questions.  Before we begin today, I'd like to remind everyone that during the conference call, management will be making statements that contain forward-looking statements within the meaning of applicable Canadian securities legislation. Please refer to the company's forward-looking information disclaimer statement, which can be found on the notice for this call, our website and the third quarter 2022 earnings release.  Now I will turn the call over to Mike Reinhart. Sir, please proceed.
Michael Reinhart: Thank you, operator, and good morning, everyone. We appreciate you taking the time to join our Q3 2022 earnings call.  This quarter marked another period of significant growth as we recognized record high results in top line revenue and adjusted EBITDA figures, which attribute -- are attributed to the continued momentum we've generated across both the cloud and payment businesses. Additionally, despite irregular market conditions, we've heard from Microsoft that they affirm the growth of key segments directly impacting our business, including continued growth in Azure that supports our strategic trajectory. Scott will provide additional insight on the specific metrics later in the call. But now I want to start the discussion of our Cloud Solutions business. In Cloud Solutions, our focus in Q3 was the realization of acquisition synergies following key integration motions. We are seeing the synergies in cross-sell opportunities consistently turning to wins with greater breadth and customer impact than ever before. Our aligned leadership team and consolidated structure has created internal efficiencies across our marketing, sales and delivery teams to enable cohesive experiences from prospecting through to close of projects to ensure customers are seeing the true value of our stated One Quisitive vision come to life in their engagement with our teams.  This execution of our M&A thesis resulted in a 107% increase year-over-year of top line growth in Cloud Solutions and additional recognition from Microsoft in the announcement of the Microsoft Business Applications Inner Circle Award that we received in September. Growth of this magnitude is possible because of cross-selling and upsell strategies that allow us to take legacy acquisition accounts and expand wallet share and opportunity that allows us to stretch accounts up to 4x revenue by offering a more holistic value proposition to customers that fold into our industry expertise and IP along with project and managed services.  Additionally, as we have now begun to create not only breadth of services, but also scale, we are able to serve larger customer with our unique offerings. With this high-value bundled offering approach, has been our goal throughout the year, we are moving from key examples validating success to a fully adopted go-to-market strategy. Across the board, we are now seeing key themes play out in customer accounts in a way that assures that we are -- these are not point-in-time individual accretive actions, but the embodiment of a visionary strategy, penetrating at each level of our sales and delivery execution cycle.  In practice, this looks like consistently upselling deals to include security offerings, including our Spyglass IP solution to existing and new customers or our business application customers extending their engagements with Quisitive beyond Microsoft Dynamics and Quisitive SaaS implementations to include ongoing support through our managed service offerings. And our health care customers are utilizing Quisitive industry thought leadership, our Mazik SaaS product, and turning to Quisitive to provide services to deploy Azure infrastructure and data services, along with our security and managed services offerings.  In the past, we have focused heavily within the Cloud Solutions group to bring our acquisition synergies to life, bundling services and IP across acquisitions to strengthen our value proposition to customers and enhance our reputation with Microsoft. As we move into 2023, we will take this same approach and continue to augment it so that these strategies are core tenets of our go-to-market strategy.  Every Quisitive customer should experience the full breadth and depth of our services and their engagement with us and see how we don't just address the acute business problems but are the true go-to partner for end-to-end digital transformation.  Pivoting now to Payments. I want to start by sharing a little bit about LedgerPay's recent rebrand to PayiQ. The new brand identity and logo defined PayiQ as a leading innovator in the payment space. The brand evokes intelligence and innovation and is a clear embodiment of our vision for Quisitive's Payment Solutions. The refresh did not stem from any fundamental change within our core technology road map but is a strategic move to position us for maximum brand equity and runway in coming months as we activate our innovative Payments Solution.  To touch on one of the recent press release, we are pleased to have just announced the expanded partnership with Visa and their CyberSource solution. Most importantly, this collaboration opens a new distribution channel for our PayiQ payment processing services and expands the payment acceptance model for the PayiQ platform. This opportunity is a signifier that PayiQ is a provider of innovative payment solutions, and we believe it's indicative of the reputation we are building within the ecosystem. We're making steady progress on our PayiQ platform as we've successfully completed the first live transactions using the Mastercard network for authorization.  These live authorization transactions mark a significant milestone with the platform, and we are very proud of our team for this accomplishment. We are now approved to have both Mastercard and Visa operating in our cloud production environments, and in parallel, are continuing to advance the American Express and Discover certifications.  As we have previously shared, the retail and payments industries all in course of production freeze beginning in November and extending until mid-January due to the importance of the holiday season for most merchants. Our production and deployment of American Express and Discover will occur after this industry freeze period. While we are working through these final certification steps, we have also initiated a robust external security audit as a prudent ready to step for final commercialization. This audit is in addition to the PCI and ISO audits that we have previously conducted and felt it's important to use this time to take extra steps before going live with customers.  Finally, in our Payments Solutions segment, our Merchant Services team through BankCard has continued to drive value and payment volume in the quarter with -- consistent with our strong Q2 results, and once again, exceeded $1.1 billion this past quarter. In Q3, we kicked off internal efforts to integrate the BankCard USA employees and operations into the Quisitive umbrella, a key motion to precede the migration of merchants to PayiQ.  Following the completion of these integration efforts in early 2023, the Merchant Services group will transition its go-to-market service offerings to the PayiQ brand. We are encouraged by the continued growth and momentum offered by our Merchant Services team to date in 2022 as it validates our preparedness to serve customers on the PayiQ platform as we move to live transaction processing.  Evidenced by our success across the BankCard Merchant Services results and the Cloud Solutions synergies I shared earlier, our M&A strategy continues to resonate and create positive forward motion. As such, we stay vigilant to new and accretive opportunities with the end goal in mind to increase our share in our respective markets and provide lasting value to our shareholders. While I have no material updates to share at this time, our team is carefully watching the market as we look to 2023.  Lastly, before I transition to Scott's portion, I want to share some brief notes on the general economic conditions and shed some light on the forward-looking guidance. As much of the tech industry has started to react to recessionary conditions with the announcement of layoffs, Quisitive has been fortunate that we've not experienced this downturn as evidenced by our record high results in top line revenue and EBITDA. Moreover, we continue to hire, particularly technical talent in our consulting delivery organizations.  In our cloud business, we remain diversified across customers, service lines and industries to offer some protectionary factors against these uncertain markets. And we were encouraged to hear that in the most recent earnings call, Microsoft highlighted that revenues were up 42% on a constant currency basis in their Azure business, where we experienced the most overlap with their business. And at the areas where they were experiencing softness, namely PC and OEM sales, are not impactful on our partnership or business.  In payments, payments industry leaders have continued to see strong demand for credit transactions and is consistent with our experience as well. We would like to note that while Q3 was a strong quarter for us, the fourth quarter always proves to be a little slower period for Quisitive in the broader cloud and payments industries. In the Cloud Services business, we experienced some seasonality given vacation time around the holidays, specifically both Thanksgiving and Christmas in the U.S. And the specific segments served by our Merchant Services group tend to have experienced a bit of a slowdown at the tail end of the year.  Regardless, at this time, we remain on track to meet our goals and retain strong progress despite volatility in the broader market. However, while we report strong Q3 results, I want to emphasize that our team is closely monitoring our internal and external indicators and strategically planning to be nimble enough to pivot in the event of greater market transitions. We will move into 2023 with these cautionary considerations at the forefront of our strategic planning to best position Quisitive for continued growth and success.  Thank you all for joining us as shareholders and supporters. I'll turn it over now to our CFO, Scott Meriwether, to discuss our Q3 2022 financial results. Scott?
Scott Meriwether: Thanks, Mike, and thank you to all who are joining us for today's call. We continued our growth trajectory as we once again set new quarterly records for revenue and adjusted EBITDA. Revenues for the quarter -- for the third quarter ended in September increased 76% to $48.8 million from $27.8 million for Q3 '21, driven by our acquisitions and our healthy organic growth. Gross margin increased 87% to $20.3 million in Q3 of '22, over $10.6 million in Q3 of '21. Our gross margin as a percentage of revenue was 41.6%, continuing our sequential quarter-over-quarter trend of increases. For comparison, our Q3 '21 gross margin percentage was 39.1%. We will continue to focus on increasing our gross margin percentage as we integrate our acquisitions, focus on cross-selling activities and begin to activate our PayiQ payments channel.  Adjusted EBITDA increased 47% to $7.6 million from Q3 of '22 from $5.2 million for Q3 of '21. Adjusted EBITDA as a percentage of revenues was 15.6% for Q3 of '22, an increase from the 14.3% we produced in Q1 and the 14.4% we produced in Q2. Our EBITDA margins increased in both our cloud and payment segments as both segments had outstanding results.  We'll now move to discussing the specific performance of our segments. Revenue in our global Cloud Solutions segment increased 108% to another new record of $36.0 million for Q3 of '22 from $17.4 million for Q3 of '21, driven by the Catapult acquisition and reflecting 19% organic growth. Recurring revenue within the cloud segment eclipsed $11 million for the first time in the third quarter. Given the strong overall quarter from the cloud business, recurring revenue remained at 31% of our overall cloud revenue, but we are pleased with the continued growth of these revenue streams.  The segment's adjusted EBITDA improved to 111% to $4.7 million for Q3 of '22 from $2.2 million for Q3 of '21. With our One Quisitive approach within cloud and internal acquisition integration efforts, we've adjusted the calculation methodology for allocation of corporate costs through our segments to a revenue-driven allocation that we believe is more accurate. These allocation changes did not affect our consolidated results versus changes between the cloud and payment segments.  With the new methodology, EBITDA for cloud in Q1 was $4.6 million, in Q2 was $4.5 million and in Q3 was $4.7 million. Revenue for our global cloud -- our global Payments segment also set a quarterly record, increasing to $12.8 million for Q3 of '22 from $10.4 million for Q3 of '21 and delivering organic growth of 23%. All of the Q3 revenue was from our BankCard acquisition. Strong payments charge volume drove the strong revenue performance from this segment. Historically, our Q2 charge volume of BankCard was our strongest quarter of the year. Q3 '22 volume held steady with Q2 with only a slight dip of approximately 0.5%. August was our second strongest charge volume month of the year. The strong charge volume combined with a favorable customer mix resulted in Q3 revenue to sequentially increase over Q2.  Our payments team has managed our merchant portfolio to attrition rates that are well below market averages. This strong base of existing merchants along with the new merchant sales are driving the strong revenue and EBITDA results. Last year, Q4 of '21 charge volume increased slightly over Q3 of '21. Looking forward, we're expecting Q4 to hold relatively steady with Q3.  Adjusted EBITDA for our global Payments Solutions segment increased to $2.9 million in Q3 '22, similar to the $2.9 million for Q3 of '21. With the methodology change I noted earlier, EBITDA for payments in Q1 was $1.8 million, Q2 was $2.4 million, and Q3 was $2.9 million. BankCard contributed a strong quarter of EBITDA with $4.7 million in Q3 of '22. The payments division includes increased spending on the PayiQ platform, which reduced the payments EBITDA by $1.6 million for Q3. We have noted on our previous calls that operating costs related to LedgerPay would continue to increase through 2022 as we reach market readiness and launch the platform.  Moving to the balance sheet. At September 30, we had $80.6 million of term loans outstanding and $9.5 million of cash on hand. As said in our last call, we expanded our credit facility in August. We ultimately borrowed an additional $7.5 million for the expansion and then made our normal quarterly paydowns at the end of the quarter. As of September 30, our total leverage ratio was 2.92x. Even with the additional borrowings, our leverage ratio was slightly lower than last quarter. Our leverage ratio covenant limit was 3.25x at September 30, and the covenant ratio will step down to 3.0x at December 31. Our quarterly paydowns now are $2.5 million.  We are confident in our cash flow and working capital position. Cash flow from operations were $5.9 million in Q3. During Q3, we made large earn-out payments related to 2 acquisitions. $5 million of those earn-outs was paid with equity as for the contractual terms of the earn-out. For comparison purposes, we had $15.7 million of projected earn-out payments and short-term liabilities on the balance sheet at June 30. At September 30, we have $7.3 million accrued. This balance will be adjusted going forward as we have greater certainty of earn-outs being achieved.  We previously noted we have an additional $2.1 million balance of projected earn-out compensation within accrued liabilities. This payment was made in Q4 using $1.3 million of cash and $0.8 million of equity. Our working capital deficit at September 30, of $0.6 million is arguably overstated as it includes earn-out amounts expected to be paid with equity. Overall, as we have previewed last quarter, our working capital looks much different at the end of Q3, and it will improve throughout 2023 as our earn-out obligations begin to roll off.  The current weighted average interest rate on our term loans is approximately 6.8%. We currently expect to convert between 1/2 and 2/3 for our adjusted EBITDA to free cash flow, which can either be used for acquisitions or debt repayment. We define free cash flow as adjusted EBITDA minus capital expenditures, internally capitalized software, cash interest and cash taxes.  As we close 2022, we remain confident in our ability to deliver strong results. We expect our payments segment to continue strong performance through this year and into 2023, especially as PayiQ builds through 2023. Related to the cloud segment, we've all seen the news of many tech companies and -- that are implementing hiring freezes or layoff programs as they forecast slowdowns, directly impacting our channel by guidance for 2023. However, as Mike noted earlier, Microsoft softness was not in the areas where Quisitive works. Microsoft is relying on our product lines to drive this growth.  And as a small-cap company, we've never had the belated head count as we have built our teams to meet our market demand. We remain in the state of hiring and growth to meet our current demand. Inevitably, we do expect some customers will delay projects to pullback spending as they evaluate current economic conditions. However, we remain confident in our pipeline and our ability to deliver strong organic growth rates. We remain excited about what 2023 will hold.  This concludes our prepared remarks. Thank you all for your time this morning. We are very proud of our Q3 results, and we look forward to updating you on our progress going forward. We're now ready to open the call for your questions. Operator?
Operator: [Operator Instructions]. Our first question comes from the line of Christian Sgro from Eight Capital.
Christian Sgro: Congrats on the strong Q3 quarter. The first area I wanted to dig into, it's where Scott left off on the pipeline and demand environment on the cloud side. It looks like you've got a good outlook into Q4 here and some putting commentary into 2023. But from where we stand today, is there anything you'd call out across the services that are in demand or the end markets, say the customers, how that mix looks in your pipeline?
Michael Reinhart: Yes. I think in general, it's consistent with what we've been seeing throughout the back half of 2022, continued interest in our security and managed services offerings and capturing those value points within customers, continually seeing momentum across data and analytics as organizations look to understand their silos of data and how to emerge and bring those together to drive insights, leveraging the Microsoft cloud capabilities. And lastly, we continue to see strong demand in health care led by our industry expertise, combined with our MazikCare offering and then all the kind of blended offerings as we've described with the Microsoft cloud offerings across Azure and our managed services, et cetera.
Christian Sgro: Okay. Great. And for my second question, I'll touch on the IP of the SaaS offering. You had mentioned the recurring revenues are at 31%, I believe, of the cloud business and confirm if that's correct, of the cloud revenues. And then just some high-level commentary on traction. On the recurring revenues, the mix across the growing IP and managed services where you're seeing traction on the recurring side into the end of the year?
Scott Meriwether: That 31% is 31% of cloud. Obviously, from an overall perspective, all the payments is recurring, so it drives our total recurring revenue percentage higher. But that 31% number we noted earlier was cloud-only.
Michael Reinhart: Yes, we're about 48%, almost 50% recurring on a total basis. In terms of kind of the directional side, again, managed services, as we touched on, exceeded $11 million for the quarter for the first time and continues to grow there. We're certainly seeing growth in both our first-party IP as well as some resale. Again, the resale is not a big part of our growth plan. We've got some of the CSP legacy, and we certainly have added to that, but it's not a core component. But the primary drivers will -- are and continue to be managed services and our first-party SaaS offerings, emPerform, MazikCare, our growing footprint of IP in support of that as we go forward.
Operator: Our next question comes from the line of Rob Goff from Echelon.
Robert Goff: Congratulations on an impressive beat for the quarter. My first question would be on your balancing in terms of managing expenses to drive growth. You mentioned that you were hiring. Could you talk to how you see that balance of investing in growth versus margins as we go forward?
Michael Reinhart: Yes. So one of the good things about sort of the work we're doing in the cloud services side, there's certainly some investment in labor-related resources to build product mix, but most of that is embedded in our existing expense model. The incremental headcount on the cloud side is often to add technical and project and consulting expertise that are to support revenue so that's the beautiful part about that headcount add. We're not creating a big bench of people that don't have work to do. We're hiring those to support the strength in pipeline we have as we grow and scale our revenue streams. In other areas, on the payment side, in particular, obviously, we are continuing to add headcount from an operations side as well as from a sales and marketing side, and we'll build that as we move through the quarters next year as well. It's not significant growth at this stage, obviously, but nonetheless, there is some there. But the bulk of our hiring is tied to production of revenue, which not only creates revenue but also margin contribution in support of that to increase in support our EBITDA, which is part of what you saw in the Q3 results is that revenue growth from the headcount hiring and services that we're doing and it driving higher margins contributions as a result.
Robert Goff: Okay. And you noted that the payment industry is sort of on freeze right now focused on the busy season. Could you perhaps talk a bit more about what you were doing behind the scenes to PayiQ in terms of establishing timelines for pilots or contracts?
Michael Reinhart: Yes. So a lot going on. The team is running as rapidly as ever. What we're working on are a series of things. The American Express certification process continues independent of going live with it doing the steps and necessary things there. We're doing a series of things on validation of the settlement -- processor clearing and settlement, which is part of what you do as a back-end processor to distribute those funds that are part of the transaction, not just authorization. So we're finalizing some of those things. In addition to that, we did -- we are working on operational readiness. So a series of things that we're doing to get everything in place for onboarding of merchants and bringing all that together. And there's ongoing development, and this will continue to be the case for many, many months and quarters ahead. We have a whole road map of feature set to continue to enhance the platform along the way with the different capabilities that we think will be unique. We're doing some unique things to do with launching our developer portal that is bringing to market a unique capability to integrate with Microsoft's marketplace experience tying in to ISVs and other kinds of things, and we'll share more about that as we go forward.  But -- so we've got a team that we've launched working and actually doing a co-develop initiative with Microsoft centered around a developer platform that we're going to be bringing to market as well. So a lot going on. All of it to be focused so that as we move into -- early into the new year that we get the other 2 certifications completed, activate customers and begin the migration process with the merchants that we have under the BankCard brand as well.
Operator: Our next question comes from the line of Rob Young from Canaccord Genuity.
Robert Young: I just wanted to dig a little deeper into the CyberSource agreement that you had. I think you've got a significant volume of transactions. And as I understand they're closed under the Visa umbrella. And so if that's going to streamline onboarding for you as PayiQ comes to commercialization, like, what does that do for your ability to win new business, new merchants?
Michael Reinhart: Yes. So it's multifaceted first of all, because they are now owned by Visa. Certainly, they already had a big footprint. But having that as an option as ISVs and others look to connect into payments, it streamlines that connection process for those software vendors to go. If they're already connected into CyberSource, they can choose us as their processor and platform to do that, we're going to be embedded into that. Additionally, Visa do some new things where they have -- our going to market and actually as a distribution model will give us opportunities to be introduced to 2 market position and work with them on new merchants and gathering as part of that process.  The other big thing is with BankCard and other ISOs that we sell to in the process, many of that merchant footprint will be using the CyberSource platform and it will streamline migration activities for us where we -- once we've got the API connected into CyberSource, which is the other thing our team is working on, back to Rob's question earlier, but is working on that. Then as those merchants come over, it's -- all the integration work is already completed, and it really streamlines that process. So we'll see that as a really great opportunity, again, both for migrating merchants into our book, but also as we signed up ISOs and others, it will allow them to onboard merchants both organically as well as migrate those merchants much more rapidly as well.
Robert Young: Okay. And then in the prepared comments, you noted that the -- your payments business -- the current portfolio attrition rates are well below market averages. What would you attribute that to? Is that the internal sales force? Or is it the quality of the merchants that you have there? Maybe any color there would be helpful.
Scott Meriwether: Yes. Sure. The attrition there is well below market average. A lot of that is the risk team is just manage that portfolio and then the sales team going after higher quality accounts. It's less than just a spray take every merchant account possible type of sales approach. And the sales team is just very adept at identifying high-quality merchant accounts that we want in the portfolio. And so our attrition rates are well below what we typically see in the payments market. And very, very pleased with the performance of the book and the performance of the sales and risk teams.
Operator: Our next question comes from the line of Stephen Boland from Raymond James.
Stephen Boland: Maybe just dive into a little bit about the Microsoft and Azure because we also have kind of their numbers and maybe their growth was slowing, but you've kind of indicated that it's not really in your segment. Maybe you could just explain why the pipeline in your segment is still strong compared to some of the other, like...
Michael Reinhart: Yes. So if you look at what Microsoft announced is, announced slowing, but on a constant currency basis, they're still growing at 42%, which is only a slight decline from their historic growth rates, albeit on a much bigger number as well. So as you think about the place where they had the slowness, as I said, was in PCs, OEMs, some gaming, some of the areas where, while it impacts Microsoft's results, aren't the areas where we're working. So we're still seeing very strong growth at 42% on a very large number within Microsoft's ecosystem. And the work we're doing is all around helping people take advantage of the sophisticated capabilities in the cloud, around data, modern applications, really bringing all that together and then all the things we provide around security, managed services, customers have to be able to deal with the constant changing cloud environment, the security risks, all those kinds of things and those offerings continue to be high-profile and high-priority items for customers.  So as you think about what people are still trying to accomplish in their digital transformation, whether it's around their supply chain and the things that we're doing with our capabilities in health care, ways to streamline patient interaction across providers and do those things, all of those are still significant investment areas from a technology side that we do not see customers pulling away from. In fact, in many cases, they're investing more because it's how they need to navigate through these market conditions and better position themselves on the backside. So all of that being said around growth in cloud and growth in the areas of leveraging Azure as a data and application platform is still in high demand.
Stephen Boland: Okay. And then the second question is just on -- there's something in the MD&A mentions PayiQ, I guess I got used to saying that now, that you mentioned spring, like that was kind of the target. Is that a little bit later than expected? Or you mean spring, is that second quarter? Is that -- or just kind of give us maybe a timeline of when you actually thought it might...
Michael Reinhart: Some of what I was referencing there was centered around the brand change from Merchant Services to go from BankCard to PayIQ. But yes, I mean, if you think about what we're doing to really commercialize the PayiQ platform, we've got to have all 4 card networks. Remember, if we go back a couple of years now and part of what we were hoping to be able to do it, there was a stage at which you could connect with Visa and then Visa could gateway you to the other card networks, and therefore, we were going to have the ability to bring the product to life under the Visa certification and then stage the other direct card network connections later. That changed in the latter part of 2020 and early, I guess it was 2021 when that really occurred. So therefore, we had to shift gears and now complete all the direct connections prior to full commercialization. So that was one of the big drivers of change.  But yes, there's certainly as we go through the process, we were hoping to get through some of those things prior to the November production freeze, but we're working with some really big companies: American Express, Visa, Mastercard and Discover, and they don't always move at the same pace that we might like to. And -- but at the same time, it's advancing, we're completing those measures and each step of the way, we're getting through them. But yes, it's taken a little longer, but what we're doing is a significant undertaking that, as we've mentioned before, has been done in what most people say over 10 years, and there's a reason why because it's extremely difficult and hard, but we're making our way through it and very near the other side.
Operator: Our next question comes from the line of Divya Goyal from Scotia Bank.
Divya Goyal: Good quarter. I wanted to get some color on the global Cloud Solutions front. So how is the category integration coming along? Is that pretty much done? I did see some good cross-sell synergies coming out this time around. So how is that whole kind of the 2 businesses, One Quisitive working together right now, if you could get some color on that?
Michael Reinhart: Yes. Actually, it is, for the most part, fully integrated. We made organizational changes beginning in Q2 of this year. At the beginning of the third quarter, we made the final steps to fully integrate teams across the organization. So Terri Burmeister, as we talked about, the former CEO of Catapult, is now leading, is our big component of our cloud services -- Cloud Solutions business around services, application data, managed services under her. And that team is all fully integrated under a common leadership, go-to-market approach. Our sales and marketing teams have all been merged together. And some of the results that we're getting in Q3 and the momentum is all because of that.  I got to give our team a lot of credit. We not only think about Q1, Q2 and even in Q3 with the organizational change in July, there were a lot of internal moving parts with integration, changing and processes and doing all those things. And yet the team stepped up and dealt with those while also performing at a very high level. So very, very proud of the team and thankful for a lot of hard work from that group.  We have some final steps on some systems things that are around fully integrating our project operations and some of those activities. Our financial systems, Scott and team, we have gotten the Catapult teams now on our GL and financial systems as of November 1. That cutover has occurred, and the project operations integration steps will occur in either January 1 or February 1. We're in vital stages to lock that down. But -- so that's the final step of what I'll call full integration, but brand, team, process, all those things have already unfolded and will continue to evolve like any other good company where we'll nurture and grow, but a lot of good steps and the team has done a fantastic job.
Divya Goyal: That's good color. I have another question on PayiQ. So with respect to this PayiQ's integration with Visa CyberSource, I was just curious if this particular specific say, the CyberSource integration, does that give some additional benefits on the payment intelligence platform side of PayiQ as compared to if you were to start processing payments alongside with Mastercard, Amex, Discover as well? Are there any additional benefits with Visa CyberSource that come up?
Michael Reinhart: Yes. So it's important to kind of understand. CyberSource is essentially a gateway platform that integrates with point of sale and shopping carts and all those kinds of things. And then behind CyberSource is Visa -- sorry, is First Data and TSYS and the global payments component with TSYS and Worldpay, et cetera. So the small number, the handful of processors are integrated to them. So we now become the next 1 of 7 or 8 processors that exist inside of that drop-down list to now be exposed to be available. So that's -- while Visa owns it, it's actually facilitating all of that back-end processes. So it's really about that flow. It is not really an enablement component for payments intelligence. It's really more about mid-market scale play on payments.  Payments Intelligence, as you remember, will be more the upper mid-market and enterprise-level customers. They're unlikely to be using gateways and things like that, like a CyberSource or others. There will be some exceptions. More often than not, that's where we'll be leveraging our sophisticated cloud solutions team to do integrations into point-of-sale environment and bringing that together to unlock that capability within the context of Payments Intelligence versus being able to enable scale play on a payment side in a small and mid-market segment.
Operator: [Operator Instructions]. Our next question comes from the line of Gabriel Leung from Beacon Securities.
Gabriel Leung: Mike, you alluded to some talent potentially freeing up as some of the other tech players, I guess, rightsize their business. Do you see that as an opportunity to -- do you see that as a potential tailwind, sorry, for your services business that you add on additional personnel to help drive that additional top line? And do you see this potentially as helping to alleviate some of the wage inflation we've seen, obviously, over the past year?
Michael Reinhart: Yes. So yes, on both fronts. So on the availability of talent, we certainly monitor any of those announcements. And like everybody, look for opportunities. And there's always 2 components to that. It's not only the people that have been let go, but it's the people that are still there that are afraid of being let go next that are often great targets for us. And by the way, this is true on both the cloud side as well as the payment side, if you noted, Stripe. A lot of these -- we're different. And Scott alluded to this in his comments, and I thought they were really well stated. But if you look at a lot of these, especially Silicon Valley and other companies, became very bloated because they had access to this really easy money. Nobody cared whether they made a profit. And so they scaled up people and resources and now have to remove all that to try to come back and deliver value to shareholders in terms of profitability.  We've always taken a different approach and they're -- it is part of why sometimes maybe we're a little slower to get things to market and doing some of those things. We've always had this very balanced mindset that we need to be a profit-generating company while building scale and capability, investing in products, including the PayiQ and MazikCare and all those things, and balancing all that and still giving back to our shareholders value that we're creating and demonstrating that. So that's a very different kind of component to it.  So as we go forward, we'll continue to be very prudent in that way in hiring. But back to your comments about the market, there's no question on both cloud and payments, the opportunity for us to use and secure that talent. In terms of labor costs, I think it will help keep it from escalating. Certainly, I don't anticipate seeing it in any way, decline cost of salaries and things. Highly skilled, leading-edge technology folks, whether it's in cloud or payments, are going to still have kind of high-value compensation, but I do think it's going to reduce some of that escalation that we have been seeing.
Gabriel Leung: Got you. And secondly, just moving to the payment side. How should we think about, I guess, top line growth and margin accretion in calendar '23, particularly as we start to get into the commercialization stage of the PayiQ and, I guess, the first half of next year? Obviously, the -- I think the organic growth on the payment side this quarter was 20-odd percent. The EBITDA margin profile was likewise strong 22% or so. I mean directionally, how should we think about both the growth and the margin profile as we go into '23?
Michael Reinhart: Yes, I'll touch on it, then Scott, you can layer in. The whole focus -- we continue to see good opportunity leveraging our sales engine within our Merchant Services in BankCard team and expect organic growth to continue within reason. Again, we always said 15% to 20% growth, we think, is a reasonable target for that business for the foreseeable future to scale and grow and expect that to continue to happen. Certainly, we'll start to unlock the accretive value as we bring PayiQ into both new merchants as well as migration. That migration activity is likely going to begin in the Q2 time frame and building momentum. Our intent is to -- we'll capture -- we'll begin to capture some revenue in Q1 and early Q2, but where it starts to have some substance to it will be as we move through the middle part of the year. Scott, I know as -- we're doing some things on modeling and things, maybe just give kind of a high-level view of kind of how you're seeing macro level indicators for '23.
Scott Meriwether: Yes. I mean, not a lot to add to what Mike put there. So continuing to experience that 15% to 20% organic growth on the baseline for BankCard and which is what our current revenue stream is kind of accelerating in Q2 with some expansion as the migration begins and then really beginning, let's call it, Q3 and Q4 activation of PayiQ in the broader market, and that's where you'll see growth rates jump past the current rates of just what our baseline business and baseline sales teams are producing. But that said, it's still going to be coming from 0. So it will be a pretty big increase from the PayiQ side, but it's going to take some time to build and onboard and get that. So Q4 will be stronger than Q3 from -- just as that ramp begins and builds through '23.
Operator: At this time, this concludes the company's question-and-answer session. If your question was not taken, you may contact Quisitive Investor Relations team at quis@gatewayir.com. Now I'd like to turn the call back over to Mr. Reinhart for his closing remarks.
Michael Reinhart: Thank you, operator. Thanks to everyone for joining us today. I especially want to thank our employees, partners, investors and customers for their ongoing support. We appreciate your continued interest in Quisitive and look forward to updating you on our next call. Operator?
Operator: Thank you for joining us today for Quisitive's Third Quarter 2022 Earnings Conference Call. You may now disconnect your lines.